Operator: Ladies and gentlemen, welcome to the Alstom Conference Call. I’ll now hand over to Mr. Henri Poupart-Lafarge. Sir, please go ahead.
Henri Poupart-Lafarge: Good morning, ladies and gentlemen. Henri Poupart-Lafarge talking. Welcome to this full-year results conference call, the first one of this new scope for Alstom. Today, I’m with Marie-José Donsion, our CFO; as well as Selma, our Investor Relations. They will, of course, answer to the questions you may have at the end of this conference call. I will – first, we have a classical agenda, introduction and 2020 strategy, we have decided to present our operational results through the frame, I’d say, of the 2020 strategy, which has been presented to you end of March, so there’s nothing really new, but we wanted to check, I’d say, the consistency between our results and this strategy. Marie-José will then present the financial results. I will come back at the end to remind the objectives and to, of course, take the questions. As for the introduction, I just wanted to highlight for me what were the main take-aways, the main learnings from this full year results. I think we can say there are three of them: the first one which is for me the most important one, is the fact that this year 2015/2016 has been a record year in terms of activities, in terms of commercial activities, but as well as in terms of operational performance as well as in terms of project executions. So I will come back to the different indicators. I will not detail them here, but each of the indicators order, sales as well as margin have been in line, if not exceeding our own anticipations and has shown very strong increase as compared to previous years. That’s the first take-away. The second one is the fact that all these operations with General Electric were designed in order to allow the new Alstom to start its new life with strong balance sheet; strong balance sheet in terms of equity, strong balance sheet in terms of leverage and actually to deleverage the Company, and both these objectives have been achieved through a number of operations which we will detail later on. But the combination of net income, the capital gain, the combination of the review of the balance sheet, the combination of the cash flow from operations, the combination of the proceeds coming from the disposals, the result of this large number of operations is that we have a very strong balance sheet to start with. Last, but not least, our 2020 strategy which we have exposed again last month, which we announced one year ago, is on track and we are delivering according to these 2020 objectives. So a very good year indeed. Coming to the key figures, again, I will not – I will detail later on all these figures. So in a nutshell, a record level of backlog, more than €30 billion; more than four years of backlog on the back of a record level of order intake, as you will see, of course, related to one specific contract, but not only – on the back of a good commercial performance our different geographies. Sales have increased organically by 7%, which as you know exceeded our guidance and which means that over the last four years we have actually exceeded our guidance of 5% on average; and sales have increased 12%, especially, notably due to some of the acquisitions. Adjusted EBIT has improved from a margin of 4.8% last year to 5.3% this year, but the combination of the margin improvement and the volume growth triggers, I would say, a global growth of the EBIT of more than 20%. So very significant growth of EBIT. Net income €3 billion. As I said, a number of operations behind which will be detailed by Marie-José later on. Free cash flow, as well, a very difficult indicator to understand. This is a combination basically of cash outflow of the energy-related businesses, and this cash outflow compensated by General Electric in line with our transaction. The cash outflow or the fine being paid to the DoJ, and a positive cash flow coming from transport operations. Overall, as anticipated, we have deleveraged the company and we have a slight debt of [€200 million] as compared to what we said in the past, it’s mainly related to both some acquisitions and to the bond buyback which has triggered some cash out. So results which are very much in line with our anticipation, which is a satisfaction, I would say, in a year which has been a year of transition, where a number of operations has been ended and despite, I would say, this kind of unstable environment, we have been able to produce these very positive results. So moving on to the 2020 strategy and the way we are presenting our performance according to these different pillars, which I will just echo you. The first pillar is to have a customer-focused organization, which is to have customer intimacy on all our continents, all our geographies. The second pillar with a complete range of solutions which is to extend from pure rolling stock to signaling, service, turnkey infrastructure, innovation which is all – which is R&D as well as new passenger experience, new systems, better systems, in order for energy efficiency, for competitiveness, and so forth. Fourth pillar, which is operational and environmental excellence; and the fifth one about the people of Alstom. All that being boosted by selective acquisitions. So on first pillar, you will not be surprised. This is, I would say, illustrated by our good order intake, €10.6 billion, again a growth as compared to last year. But what is interesting is not only the 6% growth, which I don’t think is the most significant number, but the fact that the book to bill is at 1.5 and therefore, this solid order intake will fuel future growth of activity [indiscernible]. Even more remarkable, if you look region by region, all our regions, Europe, Americas, Middle East/Africa and Asia, of course, benefiting from this order in India, has a book to bill above 1, which means that our strategy to be global, our strategy to grow in all geographic areas is paying off and we’re managing to fuel our future growth in all our geographies. Emerging market is now representing 60%, which was the case last year, again today the large order was in India. Last year, 2014/2015, the large order was in South Africa, as you may recall. This is continuing rebalancing of our geography from Europe to the global world, but Europe remains quite strong and, as you can see, Europe has quite increased its order intake from last year. By activity, and you can see the number in your files, by activity, of course. Rolling stock has increased a lot because of this large order of locomotives. When we talk about rebalancing the mix of solutions, it’s a long term trend and you’ll see that it has been achieved in sales, but order intake may vary from one year to another. So as I said, we have been quite successful on all our continents, and I give on the slide 9 a number of examples of our rollout in the Americas, from Canada to Panama. Canada it’s in signaling; in Panama it’s in system. In Europe from different countries from the UK, Belgium, Germany, Switzerland, France; we are quite also diverse within Europe. Italy as well with new Pendolino contract together with the maintenance; we see also bundle contract, new-build and maintenance contract. Middle East/Africa with Morocco trams, Algeria which is Northern Africa, Kazakhstan, Azerbaijan; and, of course, Asia with Hong Kong for signaling, and as well India. Coming back to this Indian contract which has been booked in Q4, so for you it’s a new contract. I think we announced it at the Analyst Day that we will book it; but you can see on the slide 10 a few details on this contract. 800 locomotives, or a very long series of locomotives which is, of course, quite good in terms of manufacturing, engineering activities, maintenance. So it’s a bundled contract, bundled not only with maintenance, but bundled also with the erection of a new factory in Madhepura in which we build these locomotives in India. This factory will be owned by a joint venture with Indian Railways, so something which is quite classical for us. As you know, we have partnerships around the world, whether it’s in South Africa, whether it’s in Kazakhstan, whether it’s in Algeria, so we are quite used to the partnership with our customers or with local partners, so we do another one in India. So the contract has been signed in November, has been booked last quarter, and the deliveries will start in two years from now during 10 years. So it’s a very long term contract, which allows us to build significant platform in India for locomotives. Market share per region, you know that this is an overall goal. Of course, the yearly result, the yearly numbers may vary a lot, because this is market share, these are market shares which are based on our order intake over the year so it can vary quite a lot, which is important for us is year after year to be present in the market and to be seen and recognized by all the sectors, public authorities, customers, operators, as leader on the different continents, which is the case this year again in Americas, Europe, Middle East and Asia Pacific. Moving on to the backlog, as you know, we have more than four years of backlog. As I usually say, what is important is that the backlog is fueling future growth. More than 90% of our sales of next year are already included in the backlog. So the very nice impact of this backlog is to give us visibility to adapt ourselves to the backlog, to adapt in terms of activities, to adapt in terms of geographies. As you can see, Europe represents only 46% of our backlog, so less than our share of activity; and we have today in Asia Pacific and in Middle East/Africa, thanks to the large orders but also thanks to the rest of the activities, a very strong backlog. As well in terms of activity, you can see that service is close to one-third of our backlog, of course, we have extremely long term maintenance contracts, which is weighing a lot in this backlog. So it’s always a good sign, also I would say help and a good sign of activity. But again, don’t over-estimate the mechanical impact of the backlog. You have in the backlog some contracts of 15 years and some contracts of few months. So it’s a mix which is really very diverse. This slide, you have already seen it, for those of you who were there at the Analyst Day. So nothing new, but just to remind you that this globalization is not only a commercial globalization but it’s also a physical globalization and we’re progressively enlarging our footprint in Europe, of course, but also in the different geographies: Brazil, Turkey, Kazakhstan. And this year has been a year of year of acceleration for that with India, Sweden, and policy reinforcement of our partnership in Russia and Kazakhstan. So we continue to do that. It’s a continuous effort. Moving on to our second pillar, which is the activity and solutions, what is quite remarkable this year is that for the first year the trains activities, or the rolling stock activity, has been below 50%, at 46%, while services has grown quite significantly to 22%, signaling 17% and systems 16%. So we are definitely in line with our general objective. This is on the back, as you can see in terms of activities, of the very high growth of system, signaling and services; 49% growth in system, mostly due to the progress in Saudi Arabia, so in Riyadh, and some systems in Latin America. Signaling, its organic growth as well, I would say, complemented by external growth by GE Signalling and SSL in the UK. And service has grown quite significantly, while trains have decreased a little bit and been stable to slight decrease to €3 billion activity. In train, we have delivered – we have started the delivery of PRASA. We have delivered trains in all continents: Singapore, Argentina, India, Morocco, Kazakhstan, Algeria. So we have multiple number of projects, it’s difficult to pinpoint one or the other one. PRASA, again something that you have seen last month. Nothing new, but I had promised to talk to you again because as we discussed end of March, it was the start of the tests, so I come back to give you some news about these tests and these tests are going extremely well, very smooth. We have achieved more than 132 kilometers per hour, which is exceeding by far the commercial speed of our trains. So this is very good news, the trains are very good trains and now we can focus on the manufacturing of these trains in South Africa, which as I told you a number of times, the next challenge, but the trains themselves are running very smoothly. Third pillar, innovation, differentiation, competitiveness, total cost of ownership: these are the main objectives of our innovation. Here, I wanted to just highlight one or two items, of course, plenty of programs of innovation, plenty of R&D. Just to highlight what we’ve done in tramway, which is a new tramway which we call Citadis X05, and it happened that we have sold already this tramway in Nice, so this is quite a nice achievement of the year. Of course, we have launched a number of signaling programs in mainline, but also in urban. As you know, the urban market is growing quite fast and we want to be very present in this market. And therefore, we have launched a number of innovation within this market. We are also very much present in the digital maintenance, predictive maintenance and we have modernized our HealthHub, which allows us to collect a number of information in order to optimize where we are doing maintenance. So again, Nice, which is a nice project, if I may say, €91 million, small project, which is the first project which will combine our new tramway X05 and our new system which we call SRS, which is Static Recharge System, which basically is an improvement as compared to our APS, which is our [indiscernible] and we are concentrating the recharge of the energy in the stations. So it’s catenary-less with a contact recharge in the different stations. Just a reminder that we have launched this year – which is also – it has not yet triggered a lot of spending, but in terms of launching, we have launched what we call the very high-speed train of the future, which is being launched together with the French state and we are proposing to SNCF what we call a partnership, innovation partnership. Of course, the first goal of this new train is to increase capacity, decrease the energy consumption, optimize the maintenance cost, as well as improve passenger experience. Operational excellence, we have continued all our programs in terms of operational excellence, in terms of sourcing, in terms of global footprint, I will come back to that, and in terms of delivery of our projects. So sourcing, as I said at the Analyst Day, very important for us. We are basically selling – we are buying two-thirds of what we are selling, so the sourcing activity is extremely important. We are entering into more and more partnerships with our main suppliers. So I’ll just outline the supplier day that we held in India, where we have signed a number of partnerships. We have increased, by the way, the sourcing volume from India and basically now one-third of what we buy, what we purchase, is being sought from low-cost countries. So we are progressively also expanding our sourcing footprint. In terms of global footprint itself, we are increasing our Indian footprint, not only for India; India is playing a particular role in our footprint. So it’s not only growing to serve the Indian market, not only growing to serve the Asian market, but also to serve the global market. Also we are delivering the first tramways manufactured in Latin America, in Rio. So this is a very – not a large project, but iconic project, of course, for the Olympic Games in Rio. And as I said, Gibela factory in South Africa. It is always difficult to illustrate what we call operational excellence. For us, operational excellence is to have one common operational system throughout Alstom factories. What is important is that wherever the customer is, we deliver the same quality, the same timeliness and same type of technology. So we are and this is what I wanted to illustrate with this slide, we are deploying in our different sites around the world the same system, the same manufacturing system, the same engineering system. So we have deployed this year 10 countries. This is a huge effort, which again is difficult to illustrate, difficult to see externally. But I can tell you that internally it’s a revolution so that all our sites are working as one company and they can share the same technology, they can share the same logo, they can discuss with each other. So I’ve illustrated that by that global system, integrated systems, APSYS, which is our manufacturing system, which have been now extended to the engineering and also something which is more dedicated to the electrical organization. There are kilometers and kilometers, you cannot imagine, of cables in one train. So the optimization of the electrical system of the train is extremely important. And I feel this was a good illustration of what we’re doing. All these efforts are allowing us to improve our EBIT, more than 20% in the year. Of course, also on the back of the portfolio mix this year, we’re always discussing what is the impact of the mix. This year, it’s a quite significant impact because of this acceleration of mix improvement on the back of also external growth. So that’s – all these efforts are paying off and allow us to improve the gross margin and the margin of our projects. Last but not least, on this front of operational excellence, cash focus is extremely important. As you know, as I said, cash generation is at the heart of our priority, terms and conditions, design to cash, we need to decrease the lead time of our products, decrease the time needed to manufacture metros, for example. Environment, as you know environment concern is one of our main drivers for our market. Clearly, if the world is moving towards rail transportation and electro-mobility, this is also on the back of environmental concern, which we want internally as well to improve our environmental excellence. This is important even commercially, because in more and more tenders, we are rated and our environment policy is rated and we get good rates, thanks to this good improvement. And of course, safety is a non-negotiable. Diverse and entrepreneurial people, we said it. We have internally the objective of matching our passengers, of matching our customers in terms of diversity in terms of entrepreneurship. As I said, our first priority is to grow organically through our own commercial efforts and operational efforts. We want to complement this organic growth through selective acquisitions this year in 2015/2016, we’ve done a number of acquisitions in signaling, in service, and we’re going to continue to do that to boost our growth as we have done again this year than in the previous years. So now, I will hand over to Marie-José, who will briefly explain to you the financial results.
Marie-José Donsion: Thank you, Henri. Good morning, everyone. So let’s start with the P&L on page 30. I’d like to stress again the robust operational performance that Henri presented to you, with sales being close to €6.9 billion and adjusted EBIT reaching 5.3% at €366 million. So below adjusted margin, financial indicators are very much impacted by a number of exceptional items, the largest, of course, being the impact of the transaction with GE. And this resulted into a net income of €3 billion. If we go line by line, I’ll comment on the one-off items. Restructuring charges amounted to €140 million, while the normalized level should be more in the range of €30 million down the road. Other charges related mainly to €400 million asset impairment, which is actually a non-execution related. Financial result stood at €270 million, reflecting the cost of the high level debt that the Group had till the completion of the transaction. The normalized level should be below €100 million by 2020. Tax charges included the exceptional impact of derecognition of deferred tax assets were over €500 million. Our target remains to reach an effective tax rate of 30% within two years. And finally, the net income of discontinued operations related to the P&L contribution of the energy activities till November and a gain on disposal of these activities net of tax, deal and separation costs. This line should clearly have a very limited impact in the future. Now, let’s have a look into this exceptional context in the following page in more detail. So we basically had two exceptional events impacting several lines of the P&L below adjusted EBIT. First, the impact of the transaction with GE and second the impact of the asset impairments mainly in France. So as mentioned previously, the net income of discontinued operations included the capital gain of the transaction for €4.2 billion and the negative P&L contribution of the energy activities for the first seven months of the year. The financial result was very much impacted by the cost of debt. So as a reminder, at the end of the first semester, the Group still had more than €3.8 billion of outstanding bonds. The financial result was also impacted by the one-off cost of the bond buyback operation that we launched in February 2016. Tax result is impacted by the derecognition of deferred tax assets, as I said for over €500 million. These changes take into account the evolution of the market especially in France and the fact that the new size of the Group in some jurisdictions tends to lower the visibility upon the recoverability of the deferred tax. Exceptional impairments in terms of assets were recorded for €400 million. This mainly related to changes in commercial opportunities in France, leading to a tangible and intangible impairment of €200 million. And we also had the impairment of €80 million booked in the first half year on the AGV product in light of the new product developments in the range of very high-speed trains. Finally, restructuring amounted to €140 million, linked to the footprint adaptation and the facilities rationalization in Europe mainly. I now propose to spend some time on the cash flow, page 32, since this indicator is also very much impacted by exceptional items. During fiscal year 2015/2016, the Group’s free cash flow amounted to €2.6 billion negative and this is made of, let’s say, €500 million of financials and tax cash out, which as explained already in the P&L section relates to both continued and discontinued scope and do not reflect a normalized level. It’s also made of €1.5 billion negative cash generated by energy activity between April and November 2015. As you know, this negative cash has been compensated by GE under the locked-box mechanism that we have in the transaction. And the cash compensation is recorded elsewhere in the cash flow statement. Third, the free cash flow also includes the settlement of US Department of Justice fine for €720 million. This fine, as you remember, was provided for in the P&L of last financial year, and was disbursed in November 2015 after completion of the transaction. So eventually, this means that if we de-pollute in between brackets this free cash flow indicator from the exceptional items, then the cash coming from transport operations was slightly positive for this fiscal year. This is the key message here, as cash remains a key topic for the management, as presented by Henri, we have launched a cash focused program in order to optimize working capital and we are committed to continuing generating cash from our operations. On the next page, I’d like to touch base on the CapEx developments. So during fiscal year 2015/2016, Alstom invested around €150 million in property, plant and equipment. This level of investment supports our commercial development in emerging markets, so in particular we mentioned India as well as South Africa. Besides these operational drivers and in light of future IFRS 16 application, we are also reviewing the opportunity to exercise our purchase options on leading contracts of some of our facility. And this is actually what we did in Spain this year, acquiring back the industrial site of Barcelona for a bit less than €50 million, where we manufacture high-speed trains, regional trains from within metros. So as indicated during our Analyst Day end of March, we confirm an exceptional amount of €300 million CapEx over the next three years on top of our normative level of €100 million per year in order to support our industrial network adaptation to emerging markets growth. Now, moving to the balance sheet and the liquidity position, we can say that the Group enjoys a significant level of liquidity at the end of March 2016, with gross cash in hand of €2 billion at the end of March. Second, Alstom can access its new revolving credit facility of €400 million which is undrawn at the end of March. And, of course, third, we have put options in the energy JVs with GE, providing us with additional flexibility at an exit value locked in at €2.6 billion. So the level of gross debt was also significantly reduced to less than €2 billion of outstanding bonds at the end of March 2016. And this, of course, will positively impact the legacy financial costs and cash out linked to gross debt since that should progressively phase out till last bond maturity date in March 2020. Last, as a result, page 35, Alstom net debt has virtually disappeared as committed to in our previous communications. So from over €3 billion at the end of March 2015, net debt stands now at €200 million end of March 2016. This evolution resulted mainly from the proceeds from the transaction with GE, the compensation of the negative cash flow generated by energy activities from April 1, 2014 till November 2015, net of the investments that we have made into the energy JVs and net of the acquisition of GE Signalling as well as net of the public share buyback offer. Equity stands at €3.3 billion, over €3 billion at the end of March 2016, after a net income of €3 billion, generally distributed to the shareholders through the public share buyback offer that was made in January and other FX coming from the actuarial hypothesis on pensions and the currency translation adjustments on the energy scope. So this basically concludes the financial section. I now hand over to Henri for the conclusion.
Henri Poupart-Lafarge: Thank you, Marie-José. So just one slide and I think this is probably the most important one. As a conclusion, this is a very good year and enabled us, of course, to confirm our objectives which are in fact for 2020. I think on sales growth, as I said, we have exceeded this objective over the last two years and we are extremely well positioned, when you recall that market growth is more on 2.7%, 2.8%. Adjusted EBIT, we are in line with our way to improve our adjusted EBIT to reach 7% in 2020, which we confirm. And finally, as I said and as Marie-José also reaffirmed, we want to get to free cash flow conversion to 100% conversion from net income to free cash flow by that time. This concludes our introductory comments. And now, I think we can hand over for the questions that you may have. Thanks a lot for your attention.
Operator: [Operator Instructions] We have our first question from William Mackie from Kepler Cheuvreux.
William Mackie: Three, please. Firstly, on the outlook. Can you give us – while the long term is clearly supported by the size of the backlog and the visibility that provides, can you give us a sense of how you expect revenues to develop in 2016/2017? And specifically, I note that we’ve seen a decline in revenues in Europe against the strong growth in Asia/Middle East, so how should we expect the mix to develop? And with regard to the outlook also, how is the tender backlog now looking after two record years of order intake? So that’s the first point. Second on operating profit, 23% growth; very strong support you’ve highlighted from volume and productivity. Given the flow of orders and the visibility you have in the business, can you give us a sense of how we should expect the adjusted operating margins to develop given the balance between pricing and your operational excellence program? And then lastly on a matter of detail, could you specifically give us points on your CapEx? I hear normalized €100 million plus the €300 million over three years for investments. Should we expect about a €200 million on CapEx? And very finally on the JVs, the book value on the balance sheet has run down to just under €2.2 billion. You’ve highlighted, I think you said in the call that the option was to sell at €2.6 billion, although I note from all the previous disclosures that the options to sell back to GE were at €2.4 billion. So could you clarify that?
Henri Poupart-Lafarge: On the outlook, we don’t give any precise and detailed guidance for the current year, for 2016/2017. Having said that, as you said, the order intake and the backlog of €30 billion plus is giving us strong visibility to fuel our future growth, basically to qualify this growth, I would say in a nutshell that the growth is mainly in activities outside rolling stock, while rolling stock is more or less stable and the growth is mainly in geographies outside Europe, while Europe is more or less stable. That’s a little bit how you see our portfolio, I would say, positively evolving both in terms of geography and in terms of activity. I will not be – the fact that we have beaten our own, I would say, expectations in terms of sales, you can derive that we’re going to beat it again next year or you can derive the fact that the base is now higher than what we anticipated. And therefore, the 5% objective for the current year is more difficult to achieve in a way. So I think I would not be too precise and too detailed on that. It’s a long-term growth which is huge, 90% of the sales is today in our backlog, 90% of the sales for this year is in our backlog. But depending on one or two milestones, we can be 1% more, 1% less year on year. And this is in line with good execution of our contracts. The contracts have been well executed and therefore, the milestones have been achieved in a timely fashion. And therefore, we have done a little bit better than what we anticipated. In terms of operating profit, I’d say it’s a direct consequence of that. We have in our plan a gradual improvement of operating profit. This year, we have done, I’d say, greater improvement than what we anticipated, also because as I said we’re slightly higher than what we anticipated. So depending – the answer to your point is that we don’t intend to have a dip and then a rebound. We intend to progressively improve the mix and this is on the back of the margin that we see in our backlog and our ability also to drive costs down. The reason for this improvement will vary depending on the reason of the growth in sales. The two are moving together because in the growth of sales, then you have the mix improvement which is tied with some margin improvement. On your last point of CapEx, I would say little bit the reverse. If everything goes well and if we are in line with our anticipation in terms of erection of our new factory in South Africa and in India, actually the €300 million of exceptional CapEx should be a little bit frontloaded. And as you said, it’s €100 million per year and it will be a little bit more than €100 million the first year, a little bit more than €100 million the second year and less in the third year. And this would be good news. This will mean that we are in line with spending which is today forecasted for these two programs, which of course as you can imagine in terms of CapEx both in Johannesburg or in Madhepura, are quite challenging programs. The last – I don’t resist the temptation of giving the floor to Marie-José for your last point, which is very fair, I think you’ve been very precise in the numbers, but there is a very rational explanation to that. So I’ll let Marie-José to answer.
Marie-José Donsion: In fact, the value of the JVs investment is €2.4 billion, so this is confirmed. You will notice in the annex to the accounts that – in the comments to the accounts that there was, as part of the price of GE, a dividend distribution paid through the agreed JV for close to €200 million. So mechanically, you see actually this impact of dividend distribution in the value of the assets in the balance sheet. Yet, this doesn’t impact. In fact, the exit value of the put options, which is based on the €2.4 billion, plus a remuneration and an interest of 2% to 3% depending on the JV. So the exit value that is locked in is confirmed at €2.6 billion and this is basically what will occur when we exercise the options as early as September 2018.
Henri Poupart-Lafarge: If I may give this non-accounting comment, there is, of course, an economic value to the joint venture, which is as Marie-José said would be – the exit value would be €2.6 billion, which is €2.4 billion plus the interest of [indiscernible] joint venture. Our objective definitely, from a non-accounting standpoint, we try to minimize the accounting impact of the results of the joint venture which are meaningless from an economical standpoint, but we’re supporting them only to take this economic impact. So the results – because it need our equity accounting, so the results of these joint ventures, and then to progressively increase the value to a policy limit, this is €2.6 billion amount. So hopefully, these results – or that will be offset, and we’ll try to make sure that we keep an economical approach to our balance sheet and our accounts rather than a pure accounting approach of the equity accounting. But we will year after year, of course – this will remain. This year has been full of exceptional accounts. But next year, the only exception would be the joint venture account which we try to minimize.
Operator: The next question is from James Moore from Redburn.
James Moore: Really, given the low 19% free cash flow conversion ex-DoJ, all my three questions relate to cash flow, and I’m afraid they’re a little technical, so apologies in advance. Firstly, could you please provide a euro million number for what the legacy cash cost impact was in the full-year 2016 free cash flow? And if you are able to split what that is in tax, interest and operating, it would be very helpful. That’s my first question. Secondly, could you please help us on the legacy cash costs going forward? Henri, I think at the Investor Day, you guided this to a further €150 million in 2017 fading, €100 million, €40 million, €10 million to 2020, something like that. Could you confirm that that guidance is still valid? And could you clarify if those numbers you gave then were before cash interest and cash tax effects? And if not, could you size those too? That’s my second question. And finally, on your working capital cash flow, it was about flat in the second half, or minus €8 million ex-DoJ. Given your backlog and milestone visibility, could you please help us with some sort of rough estimate for how you see working capital cash flow for this full year, and if you can say anything about the seasonality first half, second half there, that would be very helpful, because that’s one of the important things that’s hard to forecast from the outside. That was the last question.
Henri Poupart-Lafarge: Indeed, as we said, the cash generation is our number one challenge and we are working a lot to improve the situation on the back of both – in terms of payments to the customer relationship, as well as internal improvement of our working capital terms. To your point, it’s difficult to answer precisely to all your questions. I’d say if we could have done it, we would probably have disclosed them directly because these are valid. But your question is that not everything can easily fall into the category of legacy and category of operational. What we know is that the transport operations’ free cash flow, as we said is positive, and has supported some cash flow coming from the separation with energy. So what I said at the Analysts Day, i.e., there will be some continuous cash outflow coming from the separation within GE is still valid, first. I don’t change a word of what I said end of March, and has already impacted us. So when we said the transport operational cash flow is slightly positive, this is after a number of costs which maybe will be on the size of the €100 million plus, to give a number which, forgive me for that, not an audited number because you have to decide in which category you put the cost. But separation cost in terms of higher cost of the deal has impacted more or less €100 million the operational cash flow of transport, which then is slightly positive. We have then some cash flow coming from the interest costs, which is mostly legacy because it’s on the back of gross debt which was artificially high. I remind you that the gross debt at the end of September when we released our numbers was close to €5 billion; this was the gross debt, whereas today we have a gross debt of €2 billion. So we have decreased significantly our gross debt and therefore our interest cash going forward. In addition, we have the bond buyback, which has cost of debt in terms of cash around €17 million. So all that is legacy. And in terms of tax, similarly, most of the tax cash impact is legacy cost. So in a nutshell, I confirm what I said for next year, which is basically that we intend through the recurring cash generation of transport operations to compensate both the exceptional CapEx and both the cash out coming from legacy which, as you said, includes separation cost and a little bit of interest cash out. So that we confirm as being our objective, as you could have derived from the slides in the Analyst Day. Having said that, and this is your third question, and this is a difficult question because we can, of course, derive from our backlog the cash milestones, that’s clear, but that would give kind of a negative picture because, of course, the order intake for the year has a little impact on the sales of the year. So as I said, 90% of the sales of one year is totally derived from the backlog, but this is not the case for the cash, because for the cash you have the down payments which is still then 5%, 6%, 7% of our backlog. So of course, the level of order intake, which is always there in principle, has a significant impact on our cash flow. So I would say that we have – and we have no cyclical effect of our cash. It will depend on the level of down payments. So we have a good visibility of our milestone on the projects, which are good this year. There is no particular or exceptional impact. But again, to reach our objective, we need to record, as we expect to, a number of orders which will include a number of down payments. Marie-José, do you want to add something?
Marie-José Donsion: It’s seasonality, really, as Henri mentioned, we are not really a flow business type of profile in terms of cash generation. And therefore, each project has its own specificity. When we signed the revolving credit facility, clearly we’ve taken account kind of volatility in our working capital of around €400 million, as I already said during the presentation, and this is basically the magnitude of the volatility that we are facing in our portfolio today.
James Moore: If I could just come back very quickly. The interest and tax for cash, was that included or not in your future phasing of legacy cash costs and could you size the down payment for India?
Henri Poupart-Lafarge: We have some exceptional tax and cash out. Marie-José?
Marie-José Donsion: Yes. So as mentioned in the Analyst Day end of March, we flagged to you actually a number of costs relating to separation, mainly regarding the IT domain where we need to separate the networks from GE and the disbursements of the investments will probably occur more last year than what we faced this year in terms of timing. So we talked about roughly €150 million. And we also have obviously the bonds that we still have mature – which the last maturity date is March 2020, obviously the cost, the legacy cost of this progressive reduction of the gross debt, that’s why I flagged to you that I believe the normative level should be more below €100 million versus the level that we see today in the books.
Henri Poupart-Lafarge: On your last point on India, we don’t want to go into details of the terms and conditions of any contract. We have mentioned the fact that we need to invest for this contract. It’s a contract which is both including the rolling stock part and the maintenance, for which usually we don’t have any down payment. So globally, this has no significant impact today or this year on our cash flow. But it’s a complex contract. As I said, a joint venture, so partly financed locally and so forth. But no particular one-off impact coming from this Indian contract. It’s more a progressive impact. I will try to be more concise in my answer because there are a number questions. So third question from Akash, I think.
Operator: Yes, the next question is from Akash Gupta from JPMorgan.
Akash Gupta: I have three questions, please. My first question is on top line, because you guided 3% organic for the full year and you posted 7%. So was that because of some milestone and do we expect any payback in FY2016/FY2017? So that’s my question number one. And the question number two is on capital allocation. What is going to be dividend policy? That is something that we have never talked about. And because the free cash flow generation will be poor and you might be doing some ad hoc M&A, do you have any target for leverage, like what sort of leverage you are willing to take on the books before we see these, because this deal-related payments will not be coming before 2018. So a question on what sort of leverage you can take before those payments come into picture. And then the final question is on this legacy cost. I get about cash flow that how they will be coming in cash flow, but I still have some issues in modeling them in P&L that in the coming years, other than interest and tax, this IT cost, is that something that’s going to impact P&L? And if it is, then where the cost will go? That’s my third question here.
Henri Poupart-Lafarge: So on your first point, your first point is very valid. If we have overachieved our own anticipation, it’s because, again, the projects have been well executed and the milestones have been reached in time or earlier than what we anticipated. And of course, these milestones have been achieved before the year end, and therefore will not be achieved again, and they are not going to be achieved twice. So it puts a little bit additional challenge on this year, of course, clearly, but as I said, I’m not going to qualify the share growth at 1% or 2%. So this – it depends if we reiterate this very good performance in terms of milestone achievement or not this year, and so forth. So your mechanical remark is correct, but let’s see how things are going to develop in the year. In terms of capital allocation, I have no answer to your question. Frankly, I would not link that to the dividend policy. We are going to resume with the normal dividend policy and we are going – not this year again but next year, we are going to distribute the dividend in line with market practice. We are not, I would say, bound by our capital allocation, because today, as you have mentioned, we are in a specific time where we have this joint venture option, put option which will occur in 2018, which is too low actually it’s in two years really. So today, we have a strategy to continue to grow the company organically and by acquisitions. And to be fair, I would answer to your question in 2018 when we discuss the exercise of the put and what to do with the eventual proceeds from this put option exercise. And then there will be the question as we have answered to the question for the [indiscernible] which when we did the option, we said that basically we want to have an unleveraged company because we felt that this was the proper balance sheet for the timing which we were and with the investment that we were pursuing. Whether the answer will be the same in 2018, that will – I think we have time to discuss this at this point. But clearly that will be a point of discussion when the eventual exercise of the put option. In terms of legacy cash, we said it at the Analyst Day, most of the separation costs are provided for in the P&L. So today, with all the operation and the exceptional operations that we have done, you should – and that’s why we’re outlining it – expect some cash out in the next year, but the P&L impact will be minimal.
Operator: The next question is from Guillermo Peigneux from UBS.
Guillermo Peigneux: I was wondering actually about two questions, but I’ll ask the first one and then I’ll follow up with the second one. Regarding the mix impact that you mentioned on the margins, can you quantify it and can you give us a hint as to how much that mix will impact 2017, if possible?
Henri Poupart-Lafarge: On the mix, we made – it’s always complex to make some simulations, but this year, it has been, I would say, a greater impact than what we have guided for the mid-term because of the mix, because of the acquisitions notably has been a quicker, the mix impact has been quicker. And we consider that it’s [indiscernible] between the mix impact and the operational leverage this year, which does not say that it will be the same next year because the acquisition impact will be not repeated each year. And we have done a significant step towards our objective in terms of mix. So it’s more or less mix, half/half between the operational leverage and the mix impact, which is [indiscernible].
Guillermo Peigneux: And then the second one, a clarification regarding the finance line. I think Marie-José mentioned around €100 million negative by 2020, but I was wondering whether that is the net finance line or just the finance expenses. How can you in a way guide us through 2020 in that particular line?
Marie-José Donsion: Regarding financial expenses, we have, obviously, the regular fees from the bank, from all the various facilities. You know we need for our contracts quite a large amount of commercial bonds to warrant, in fact, the execution of our long-term projects. So basically, we have a regular level of fees with banks. Then the second aspect in the financial expenses that will remain in the company is the cost of hedging. So we have a stringent policy of systematic hedging in terms of ForEx exposure on our projects and this conveys a cost, which is part, obviously, of the cost that we put in our tenders, in our bids to the different projects. But this is also part of the recurring financial costs that we will have in the P&L. That’s why once we come to the end of the maturity of the gross debt, I consider that we will still have a normative level of financial expenses below €100 million.
Operator: Next question is from Gael De Bray from Deutsche Bank.
Gael De Bray: The first question is again related to the free cash flow performance. How much of the €500 million financial cash and tax cash out was offset elsewhere in the cash flow statement as part of the locked box mechanism with GE, if any? The second question is on the GE Signalling integration. It seems that GE Signalling had a margin of just 5% in the first few months of its integration, which seems a bit lower than what I was expecting myself. Could you perhaps comment on this and say what you see as a normalized margin level for the business? And the third question I have is on the French market. You booked pretty high restructuring charges and impairments this year. A lot of that was probably related to France. In this respect, could you give us a bit more substance to the comments you had this morning at the press conference when you said that the Group was preparing for possible decline in activity in France?
Henri Poupart-Lafarge: On your first question, the number which I quoted was – the €100 million was the number not compensated by GE. These are the separation costs which remain paid by Alstom. And that’s why I said that we need to – these are impacting so-called transport operations and if we want to talk about recurring transport operations, then we need to exclude this number. What is compensated by GE is included in our free cash flow. On GE Signalling, we said that actually the margin of GE Signalling is not very different from Alstom, and that’s why – okay, two months is not extremely significant, a few months, but that’s why it’s this type of level. Why? Because, actually, GE Signalling is a mix of two types of activities. One, it’s more a product activity in the US, which is quite profitable, and the other one is a project activity which we announced quite recently in the world based upon European products, new CBTC, and so forth, and they have struggled more in this activity. So it’s a kind of very, I would say, differentiated, very contrasted mix of activity from the US and from the rest of the world. It’s also fair to recognize that – and you may know that the freight market in the US is not as booming as it was in the past due to the decrease of activity in the oil and gas sector which was the heavy impact of the freight activity in the US. In France, what I said to the press conference in France, I said that the French activity and I said it to the press conference, if you look now, we are detailing our activity in France in our books. So if you look at it, you will see that the sales are more or less flat, so there is nothing which is earth-shattering today. What we see and what we anticipate is that the backlog on the commercial activity is smaller than what it was in the past and therefore we can have a gradual decrease of our activity in France. And what I said to the press conference that the backlog gives us visibility to adapt ourselves progressively in France, and that we will, of course, discuss with all interested parties to see how to do that in a very smooth manner.
Operator: The next question is from Sebastien Gruter from Exane.
Sebastien Gruter: First question, I am a bit confused about the IT separation cost. You say you have been providing that, these costs in the P&L, and we’d see the cash out in the next few years. Have these costs been booked and it’s part of the adjusted EBIT number you’ve shown, or is it below? Second question I have is on the net capitalization of R&D of €20 million. Is it a new normal level, or has it been exceptional this year? And the final question will be on the provision. In the balance sheet, there has been a very sharp increase if we adjust for the DoJ payment, notably in tax risk and other non-current provisions. Can you tell us what drove this increase?
Henri Poupart-Lafarge: A number of questions. We’re not going to go into the details of all the accounting lines. Basically, the separation ISAT costs have been recorded below the adjusted EBIT. These are non-operational costs. And depending on where they are exactly, they are below adjusted EBIT, that’s clear. On the R&D capitalization, I would say I don’t know if €20 million is a kind of recurring level. It’s not abnormal as we are growing and we are launching a number of innovations that the capitalization is slightly higher than the depreciation. Okay, €20 million is not a huge number, whether it would be €20 million, €10 million or zero, depending on the year. But I would say it’s not abnormal that it’s slightly above this level. Finally, on the provisions, I would say, and Marie-José will maybe answer into more details, there has been a complete review of the balance sheet. So there have been a number of non-operating provisions and tax and – which have been moved from the different lines to clean all the balance sheet. So that’s why you may see some movement in provisions from the different lines of provisions, also from current provisions to non-current provisions. So we were expecting some questions on that. It’s quite complex. To be clear, there is no cash out, particular cash out, to be expected from these movements. These are regular and this does not change the cash out perspective as compared to the previous years, but it’s more a question of where, in which lines to put them. Maybe Marie-José you want to add?
Marie-José Donsion: No. I confirm actually the classification of the different provisions has been adjusted. The amount that you see on top of the DoJ movement mainly relates to tax as you flagged it. I think we are well covered in terms of risks in the balance sheet. And let’s say the profiles of cash flow that we have presented to you during the Analyst Day are consistent with the closing that we are showing today.
Operator: Next question is from Christophe Quarante from Societe Generale.
Christophe Quarante: Just three questions, if I may. Just could you come back on the competitive environment? Could you give us what’s going on in the current tenders? Any specific pressure from Chinese players, for instance, or any other players that you may see? And that’s my first question. Second question about the financing. Is there any issue in dedicated or any specific countries where you are seeing some difficulties currently, or is the move more positive, if I may say, in terms of financing? How do you see any risk with regard to that, or is there any more? That’s my second question. Third question, just coming back to the free cash flow structure, you have given a lot of explanations on legacy, on provisions and so forth. Could you give us your view on the evolution on operational cash flow or working capital? More particularly, what’s going on in terms of inventories? And could you give us your view on the evolution of your supply chain, maybe related also to what you want to do in terms of outsourcing and where we are currently, giving us a view on how it may evolve in terms of improvement for next years in terms also of the 2020 objectives?
Henri Poupart-Lafarge: A few general comments on the activity. Nothing, of course, has really changed as compared to what we said end of March. The competitive situation is still the same. We have quite intense competition worldwide, which is not a surprise, and our 2020 strategy is precisely to address this competitive pressure. And we know that there is a pressure on price and there is a pressure coming from some competitors. You are mentioning precisely the Chinese, as I always say, I think we should – for the Chinese it’s not – we should not take an extreme position. They will be there, they are there, they are competing with their own pluses and minuses. Our strategy by being more local, being closer to the customers, also by benefiting in some countries like in India from even lower cost than the Chinese cost, we have a strategy to be competitive even against the Chinese when they are present. They are not present everywhere, of course, by far, but when they are present, we want to be in a position to be competitive and we have won contract. Again, the Chinese – the level of real today makes it also difficult for some exporters to come in Brazil, Chinese or other exporters. So that’s no particular change and there is a good commercial activity. Your point on financing, I would not be as optimistic as you are. The financing situation has not improved in the present period. Financing is always a key topic for projects, not that we are bringing the financing ourselves, but as you know our customers need to get some financing from external parties, whether they are multilateral agencies, whether they are banks, commercial banks or budgetary funds. And we are discussing with a number of customers coming into force of some projects which are waiting for the financing to be put in place. This has been a little bit in some countries of course deteriorated, or more difficult situation because of the oil price drop, and hopefully this will come to an end sooner than later. But I would say this is a day-to-day struggle. Whether it’s more complex today than yesterday, all our projects take some time to come from the pure project development to come into force, to project execution, so whether it takes more time or less time it’s difficult to say. But typically on the financing side, we are working on it. And as I said execution has not changed neither positively nor negatively. In terms of cash flow and working cap, again, we can come back to the variation of working cap which leans to some other milestones, but structurally, we are working on improving our inventories, or our turns of inventories. As compared to sales, of course, we are growing. So it’s not totally abnormal that our inventories are growing at the same time like payables are growing, like receivables are growing. But as compared to our level of activity, we intend to improve these indicators. Having said that, I would say, and this is with the complexity of our cash flow, is that this gradual improvement is sometimes masked by the volatility, the short-term volatility related to some milestones of payment or relative to some down payments. But if we look year after year, these indicators are improving.
Operator: The next question is from Alfred Glaser from Oddo.
Alfred Glaser: First on acquisitions, you said that you wanted to do several add-on acquisitions this year, preferably in signaling and service maintenance. What kind of targets could you actually envisage and how much would you consider spending on these acquisitions this year? And the second question relates to TMH in Russia. You increased your stake in TMH not so long ago. How do you view the business outlook for this company and also your stake evolve in the future in TMH?
Henri Poupart-Lafarge: Very difficult to answer. In terms of bolt-on acquisitions, we have a pipe of acquisitions which I would say is similar to the one of last year. So I will be disappointed that we are not making any acquisition because this is part of our strategy to boost our organic growth through bolt-on acquisitions. At the same time, I’m not ready to do a stupid acquisition for the sake of doing acquisition. So I will not give any guidance, but what we have done this year in terms of bolts-on, so the SSL, Motala, this kind of small acquisition which amount – we are talking about tens of millions; so globally, about €100 million of proceeds, €100 million to €200 million maybe, that’s order of magnitude. But don’t come back to me if we do only €50 million or if we do €200 million, because we want to be selective and we want only to acquire companies which are worth being acquired. But these are the sizes of acquisitions that we do, whether it’s maintenance or in signaling. We don’t have currently on the pipe something of the size of GE Signalling for example. In terms of TMH, no, there is no – today, RZB, the operator, the Russian operator, has sold its shareholding in TMH, and so we are 33%, our partners are at 66%, and there is no intention neither from them or from us to change this ownership. Of course, as I said also during the press conference, we have changed a little bit the priority of the partnership from something which was more commercially oriented and introduced into the market new product and so forth. We are more in the operational improvement, the global footprint. And also, to take advantage of the footprint of TMH which is quite competitive today, thanks to the level of the ruble. So it’s more operationally oriented, restructuring, competitiveness, rather than new product – I would say new product penetration into the market.
Operator: The next question is from Andrew Carter from Royal Bank of Canada.
Andrew Carter: I’ve got three questions, please. The first, and I apologize, I just wanted to come back to cash flow briefly just to help me understand. On the slide that we were talking through, I think it’s page 32, I was just wondering, if I look at the €652 million outflow in the full year, I’m guessing that the €720 million DoJ fine is included in there. So if I add that back, then the free cash flow pre the fine would be around, I think, €70 million. But when I look into the notes of the accounts, I do notice that in terms of the movement in construction contracts in progress, there was a very, very strong cash-in relating to construction contracts in progress. I think it was €400 million in the year, maybe €500 million in the second half. And so I was wondering, perhaps as my first question, if you could help me just understand what the payments the other way were that meant that overall the cash flow was only that €70 million. It just seems that there’s an awful lot of movements there and maybe I’m missing something. The second question was hopefully a slightly less complex one, and I guess in a month or so time here in the UK, we’ve got quite a big vote that at the moment does seem to suggest there’s a possibility that we might see Britain exit the European Union. Some speculation if that happens we’ll see quite a significant weakening of sterling. I wonder if you could just talk a little bit about Alstom’s exposure to that and give us an idea as to what sterling accounts in terms of sales and also profit. And then the final one was, and I apologize if it came up before, but just in terms of the decision not to propose a dividend this year, I would have thought a company such as Alstom with a sound outlook and a pretty strong balance sheet would be expected to pay a dividend. Could you talk a little bit about why you haven’t decided to do so in the next couple of months?
Henri Poupart-Lafarge: On your Brexit point, we have not disclosed any – a detailed amount coming from the UK. We are present in the UK. We have mostly long-term contract by the way, service contract, whether it’s West Coast Main Line or whether it’s for the Metro of London. So it’s not significant in terms of large numbers. It is one activity; several, we can say several hundred million, a couple of hundred million as you said. Everything is based in the UK so there is no – I would say it’s service contracts, local contracts, the only risk that we have is the translation impact if the British pound was to dramatically change its value. But frankly, considering the size of the income that we do that, I don’t know what are your expectations in terms of British pound evolution if there is a Brexit, but I don’t expect any significant impact on our P&L or on the cash flow of this Brexit impact. Whether you consider that Brexit will turn the UK into a very difficult period with the European Union and so forth, that I don’t know. And whether it will have an impact on the future tenders, that frankly is very difficult to predict at that stage. But in our ongoing tenders, as we are completely local, I don’t expect any significant impact on our accounts. On the dividend, just to keep this point, it’s true that we’ve thought about it. Frankly, the share buyback was only done in February, so it was very recent. So after a €3.2 billion share buyback, distributing a dividend which would have been by any means, if you take the normal type of ratio, it would have been very small as compared to this share buyback, of course, and which would be difficult to size considering the number of exceptional elements in our P&L. The Board has decided that it was probably unnecessary and that it would be preferable to consider that we will resume with a normal dividend policy next year when we’ll have, if I may say, normal accounts, not polluted by all these exceptional items. And again, considering anyhow the level of dividend which will have been distributed, if we take a normal policy, as compared to the large, large number of share buyback of €3.2 billion. On the working cap, I will give the floor to Marie-José, but it’s true that there has been a lack for the provisions with a number of reclassifications between the different lines of movement – not significant, but movements in the different lines. So if you take only the assets, or only part of the working cap, you have a very biased view of the working cap evolution, which you could see in the cash flow statement. You see the change in working capital of close to €900 million, and if you deduct this one, you can also deduct some kind of working capital change, but Marie-José will explain that in the short term.
Marie-José Donsion: In the short term, so I’ll try to. So basically, when you compare the balance sheet evolution and you try to reconcile with the cash flow, you should keep in mind that actually the balance sheet very much evolves also with the acquisitions that we have made in the year which generate in fact an input in the scope. So obviously, the positions in the balance sheet reflect these acquisitions entering into our balance sheet, without in fact impacting the flow, the cash flow of the year. So in fact, the cash flow movements are very much flagged in the cash flow statement. So you’re right, we have a little bit utilized some of the working capital. So even when we exclude the DoJ payment, you see it’s a slight consumption of working capital which in fact reflects the progress in terms of execution of our projects. I would say prepayments remain relatively flat and the evolution of the suppliers was very much in line with the increase in activity. The very good performance comes from the evolution of our inventories level, which in terms of turns has clearly improved over the year, as already mentioned by Henri.
Henri Poupart-Lafarge: Thank you. I think we turn to the last question as time is running.
Operator: Next and last question is from David Vos from Barclays.
David Vos: I’ll try to keep it as short as possible. A couple of questions on the JVs. I noticed that the sales levels are a little bit lower, quite a lot lower I should say than I was used to. For renewable, for example, it seems that you only booked €50 million of revenue. I’m sure there’s a perfectly logical explanation to it, but if you could help us with that, and also perhaps give us an outlook of what you think will be the kind of normalized level of contribution to your P&L of those JVs. And then I also noticed there is in addition to the three GE JVs, there’s a thing called put alliances which would have generated €91 million in the P&L. Could you just explain what that pertains to, please?
Henri Poupart-Lafarge: I think I will hand over to Marie-José for these questions.
Marie-José Donsion: So in fact, regarding the energy JVs that we have with General Electric, we have actually no opinion on the evolution of the activity of those JVs that GE is managing. Basically, we account them under equity methods, so we recognize 50% of the net income as a contribution to our books, and the put options are actually there to offset these contributions, since clearly we said that we intend to exercise the put options in September 2018. And therefore, let’s say the mark-to-market valuation that we expect of those puts should be the exit value of those put options at €2.6 billion in two years. So in fact, what we are trying to do with the put options is to limit and control the impact of the energy JVs on Alstom accounts and therefore we offset any negative contribution from those JVs in our accounts.
Operator: Thank you. We have no further questions.
Henri Poupart-Lafarge: So thank you very much for your time. I think this concludes our first conference call on the early results. Happy to meet all of you again in the coming days maybe and certainly on July 13 for the conference call on our first quarter orders and sales. So thank you everybody for your time. Thank you for your understanding and talk to you later. Bye-bye.
Operator: Ladies and gentlemen, this concludes our conference call. Thank you all for attending. You may now disconnect.